Operator: Welcome to the Carter's First Quarter 2021 Earnings Conference Call. On the call today are Michael Casey, Chairman and Chief Executive Officer; Richard Westenberger, Executive Vice President and Chief Financial Officer; Brian Lynch, President; and Sean McHugh, Vice President and Treasurer. [Operator Instructions] Carter's issued its first quarter 2021 earnings press release earlier this morning. A copy of the release and the presentation materials for today's call have been posted on the Investor Relations section of the company's website at ir.carters.com. Before we begin, let me remind you that the statements made on this conference call and in the company's presentation materials about the company's outlooks, plans and future performance are forward-looking statements. Actual results may differ materially from those projected. For the discussion of factors that could cause actual results to vary from those contained in the forward-looking statements, please refer to the company's most recent annual and quarterly reports filed with the Securities and Exchange Commission and the presentation materials posted on the company's website. On this call, the company will reference various non-GAAP financial measurements. A reconciliation of these non-GAAP financial measurements to the GAAP financial measurements is provided in the company's earnings release and presentation materials. Also, today's call is being recorded. And now I'd like to turn the conference over to Mr. Casey.
Michael Casey: Thanks very much. Good morning, everyone. Thank you for joining us on the call. Before we walk you through the presentation on our website, I'd like to share some thoughts on our business with you. Carter's is off to a very good start this year. First quarter sales and earnings are meaningfully better than we had planned, with growth in each of our Retail, Wholesale and International segments. We saw a surge in demand for our brands in March in the weeks leading up to Easter, with consumers responding very positively to the strength of our product offerings, and compelling value proposition. We also believe we realized a significant benefit from the unprecedented government stimulus, supporting families with young children. Thankfully, the benefits from the $1.9 trillion stimulus package will continue this summer, providing families as much as $300 a month for children under the age of 6 in the second half this year, and as much as $8,000 in tax credits for child care next year. With continued progress with vaccinations, we believe we may see a more meaningful recovery from the pandemic this year. Accordingly, we have raised our sales and earnings forecasts for 2021. In terms of sales trends, we got off to a good start in January with strong demand for our new spring product offerings. We lost ground in February with winter storms in important markets, including Texas. Sales in March were significantly better than planned. Historically, given the seasonality of our business, our sales in March are more than January and February sales combined. It's typically the largest month of sales and earnings contribution in the first half of our year. Sales in March were up nearly 60% compared to last year. It was the strongest demand in March that we have seen in the past 5 years. Our second quarter sales are also off to a good start as warmer weather continues to arrive in more parts of the country and consumers are more comfortable getting out to shop. Despite lingering COVID-related restrictions, we saw good demand for our brands over the Easter holiday shopping period. Last year, all of our stores were closed in the United States in the weeks leading up to Easter. A more meaningful comparison is to Easter in 2019. Compared to the Easter holiday shopping period in 2019, our retail sales were up 10%, driven by strong demand for playwear. The earnings on those sales were up over 30%, driven by improved price realization. Our Retail segment was the largest contributor to our first quarter sales and earnings. eCommerce continues to be our fastest growing, highest margin business. Recall that we began to see a surge in online demand in March last year as stores closed in the early days of the pandemic. In the first quarter this year, eCommerce penetration grew to 40% of our retail sales, up from 37% last year and 30% in 2019. Over the years, we've invested significantly in the online experience for our brands. We improved the presentation of our product offerings, search capabilities, site navigation, ease of outfitting and simplicity of checkout. We've expanded our online product offerings this year with new brands and product assortments that appeal to a broader group of consumers, including organic apparel and the tween market. We've also invested in omni-channel capabilities that leverage our stores in the United States and now Canada to provide a higher level of service and convenience for our online customers. We believe we're seeing benefits from those investments in our very profitable eCommerce business. Increasingly, we are seeing our customers enjoy the convenience of shopping online and then picking up their purchases at our stores located near their homes. In the first quarter, we saw a 52% increase in customers using our omni-channel services. Our omni-channel customers are our highest value customers. They shop more frequently and spend nearly 3x more than our single-channel customers. Last year, we leveraged over 600 of our stores in the United States to fulfill online purchases. As a result, we improved the speed of delivery and earned a higher margin relative to shipping from our distribution center. Going forward, we're focused on fewer, better, higher-margin stores. We plan to close over 100 low-margin stores upon lease expiration this year. We're effectively driving consumers to our websites and higher-margin stores located in more densely populated areas. Stores will continue to be an important part of our brand experience. Over 60% of children's apparel in the United States and Canada is purchased in stores. In the post pandemic period, we believe there will be new and attractive real estate opportunities, which may enable us to revisit our store opening plan. Our current plan envisions only 10 store openings a year beginning next year. Our Wholesale segment was the second largest contributor to our first quarter sales and profitability. Collectively, we continue to see double-digit growth with our exclusive brands. We also saw good growth in our flagship Carter's brand and Skip Hop brand, each with double-digit growth in Wholesale sales in the first quarter. eCommerce sales through our wholesale customers continue to be robust in the quarter, up over 60%. In the first quarter, we saw a double-digit percentage growth in baby apparel sales to our wholesale customers relative to last year. A very high percentage of our exclusive brands with Target, Walmart and Amazon are focused on baby apparel. The latest market data suggests 7% fewer babies were born year-over-year through February. That said, we have not yet seen any meaningful impact on our baby apparel sales. Baby apparel was the largest component of our sales growth in the first quarter. Interestingly, our Carter's crib sales and Skip Hop's high chair sales are also trending much better than a year ago. We are the largest supplier of baby apparel to the largest retailers in North America. If there is a prolonged slowdown in births due to pandemic, we expect to see it in our results. As we move through the balance of the year, it will be interesting to see the impact of the new stimulus package, which supports families with young children. Despite the decline in annual births over the past decade, we've managed to grow and gain market share. We have the broadest distribution of children's apparel in North America. Wherever consumers are shopping for their beautiful new babies, they'll likely see a strong presentation of our brands. We also saw good growth in our toddler and 4 to 14 sized product offerings, including sleepwear, swimwear and playwear. Thankfully, with broader access and acceptance of the vaccine, more schools are reopening in the final months of the school year, and we believe we're benefiting from that very positive trend. For the year, we're forecasting growth with 9 of our top 10 wholesale customers. We plan to launch our new baby apparel and our fall product offerings in the second quarter this year. With many stores closed in the early days of the pandemic, nearly $50 million of our initial fall product launches shifted into the third quarter last year. The shift in timing of product launches will impact the year-over-year comparability of our quarterly results this year. For the year, we're expecting good double-digit percentage growth in wholesale sales and profitability. Sales in our International segment grew nearly 20% in the quarter. Our operations in Canada and Mexico had very good growth despite COVID-related store closures. eCommerce sales through our International segment more than doubled. Canada and Amazon's launch of our Simple Joys brand in Europe last year were the largest contributors to that growth. For the year, we're expecting a very good recovery in international demand for our brands. Canada and Mexico are still challenged by limited access to the vaccine and subject to COVID-related store closures. Assuming current lockdowns in Ontario, Québec and certain markets in Mexico are short-lived, we are forecasting double-digit percentage sales growth in Canada and Mexico. We've also forecasted a strong recovery in growth this year with our international wholesale customers, representing our brands in over 90 countries. This is a highly margin accretive component of our business. The drivers of our growth in international markets include new omni-channel capabilities launched in Canada earlier this year. Consumers in Canada are responding very positively to the convenience of shopping online and picking up their purchases in our stores. We are the largest specialty retailer of children's apparel in Canada, with more than 3x the share of our nearest competitor. In Mexico, we plan to replicate the success we have achieved through our co-branded store model in the United States and Canada. Over the next 5 years, we plan to convert all of our stores in Mexico to the co-branded model. Mexico also launched eCommerce capabilities last year, and it's off to a good start, better than we had planned. We're forecasting good international growth with our brands sold globally through Amazon, Walmart and Costco. Our Simple Joys brand sold through Amazon is expected to be a meaningful source of growth for us in the years ahead. Our wholesale relationships with retailers in Brazil and the Middle East are also expected to be good contributors to our growth. With respect to our supply chain, we continue to be challenged by 2- to 3-week delays in the receipt of product from Asia. This is a macro challenge affecting many retailers. In general, the timeliness of receipts from Asia has not improved relative to the fourth quarter. Our suppliers in Asia have struggled to meet our shipping deadlines as infections to the coronavirus are outpacing their employees' access to the vaccine. As a result, we expect late deliveries may continue in the balance of the year, and we've reflected that risk in our forecasts. To mitigate that exposure, we are expediting deliveries at a higher cost. To the extent possible, we are also moving production schedules up to mitigate pandemic-related delays in Asia and the West Coast ports. Thankfully, our wholesale customers are lean on inventories and seeing good demand for our brands. To date, we have not seen any meaningful order cancellations due to late deliveries, but that's a higher risk than usual. Given the surge in demand in the United States when the market began to recover last summer, freight carriers have raised their prices. Higher distribution costs, that are actually there, are being more than offset by better sell-throughs of our product offerings, fewer promotions, better price realization and margins. In summary, 2021 is off to a good start. We're seeing strong demand for our brands. We're leaner on inventories and chasing demand. We're also seeing better profitability, driven, we believe, by the strength of our product offerings, benefit of government stimulus supporting families with young children, progress with vaccinations enabling more children to return to school and the benefits from our productivity initiatives. Carter's continues to be the best-in-class in young children's apparel. Last year, an independent study ranked Carter's online shopping experience as 1 of the best in the United States and Europe. Earlier this year, a separate study ranked Carter's as 1 of the best loved brands in the United States. We continue to lead the market because of the strength of our brands, unparalleled market distribution and over 19,000 store locations and nearly 20,000 employees worldwide working to provide the best value and experience in young children's apparel. I want to thank all of our employees who enabled the strong start to our year and their commitment to achieve our growth objectives this year. Richard will now walk you through the presentation on our website.
Richard Westenberger: Thank you, Mike. Good morning, everyone. I'll begin on Page 2 with our GAAP income statement for the first quarter. Net sales were $787 million, up 20% from last year. Reported operating income was $127 million compared to a loss of $78 million a year ago. And reported EPS was $1.96 compared to a loss per diluted share of $1.82 a year ago. Recall that last year's reported results included the adverse effects of the early days of the pandemic, including store closures, which began in mid-March, the suspension of shipments to many of our wholesale customers, meaningful inventory charges and impairment charges related to goodwill and intangible assets. Our first quarter results for 2021 and 2020 included unusual items, which are summarized on Page 3. We've treated these items as non-GAAP adjustments to our reported results to enable greater comparability and provide insight into the underlying performance of the business. My remarks today will speak to our results on an adjusted basis, which excludes these unusual items. Turning to Page 4 for a summary of highlights for the first quarter. As Mike noted, we delivered an exceptional quarter. Demand for our brands was very strong as consumers responded very well to our spring product offerings. We meaningfully exceeded our sales and earnings objectives for the first quarter. We achieved a record gross margin and managed spending well, enabling a reported operating margin of over 16%, our best quarterly performance in over a decade. In addition to our strong product offering, we believe our growth was spurred by a number of other factors, including warmer weather in the weeks leading up to Easter, the benefit of government stimulus, the easing of COVID-related restrictions, progress with vaccinations around the country and the return of in-person learning. Better inventory management and improved price realization were also key contributors to our growth in the quarter. While we were pleased with our growth over 2020, it's also meaningful to note that we exceeded our first quarter 2019 sales and earnings performance as well. Moving to Page 5 and our adjusted P&L for the first quarter. While net sales grew 20% over last year, gross profit dollars grew 72% in the quarter, a result of our gross margin rate expanding by nearly 1,500 basis points to 49.8%. While several factors contributed to this record gross margin in the quarter, the most meaningful were improved price realization, driven by the strength of our spring product offering and improved marketing and promotional effectiveness and significantly lower inventory charges compared to last year's first quarter. Product costs were also lower versus last year. Royalty income was roughly comparable to last year at $7 million. Adjusted SG&A increased 3% to $271 million, which was a little lighter than we had planned. Some of this favorability will shift forward now and be spent over the balance of the year. SG&A levered 560 basis points to 34.4% of sales as a result of the strong sales growth in the quarter. Quarter included higher spending in a few areas, including investments in our retail and supply chain capabilities and in furthering our ongoing productivity agenda. We also incurred higher compensation expense as we took steps a year ago to lower these expenses in response to the initial outlook for the business in the face of the pandemic. Adjusted operating income was $129 million compared to an adjusted loss of $26 million in the first quarter of last year. Adjusted operating margin was 16.3%, which was the best performance in a number of years as we've noted. Below the line, net interest expense was $15 million, up from $8 million last year due to the $500 million in senior notes we issued as we took steps in Q2 last year to strengthen our liquidity. We had a small foreign currency gain in the first quarter compared to a $5 million FX loss last year. Our effective tax rate was approximately 24%, up from about 14% in Q1 of last year. We're expecting our effective tax rate this year will be higher than last as a result of the higher proportion of our income being generated in the U.S. versus overseas, and our forecast for higher compensation expense, some portion of which will be nondeductible for tax purposes. So on the bottom line, adjusted EPS was $1.98, up meaningfully compared to last year's adjusted loss per share of $0.81. Moving to Page 6 with some balance sheet and cash flow highlights. Our balance sheet and liquidity remained very strong. Total liquidity at the end of the first quarter was approximately $1.8 billion, with over $1 billion of cash on hand and essentially all of the borrowing capacity under our $750 million credit facility available to us. Quarter end net inventories declined 1% to $561 million. On a gross basis, inventories were down 4% versus Q1 of last year. Inventories at the end of the quarter were in good shape, given the strong demand we have experienced and improved inventory management, which is included generally buying less inventory than in previous years. Over the past year, we've made good progress in reducing our excess inventory and selling through the inventory we've packed and held in the early months of the pandemic. We'd actually like to have a bit more inventory right now. As Mike said, we're experiencing supply chain disruptions, which are delaying product receipts and ultimate shipments to our retail channels and wholesale customers. These disruptions, to date, have been mostly transportation related. However, in recent weeks, we've begun to see some factory delays as COVID infections, in a number of countries from which we source product, including Cambodia, Bangladesh and India, have risen considerably. Accounts payable was higher year-over-year reflecting our working capital initiatives, including the extension of vendor payment terms and rent deferrals implemented last spring in response to the pandemic. Long-term debt was approximately $1 billion, down about $200 million from last year. This decrease reflects lower revolver borrowings, which were offset in part by last year's issuance of the senior notes. Cash flow used in operations in the first quarter was $40 million. It's not unusual for our cash flow to be negative early in the year. The use of cash through the first quarter was substantially better than what we had planned given our increased profitability in the first quarter. Lastly, given how well our business performed last year, during the height of the pandemic, our strong start in 2021, and our outlook for continued strong liquidity, we are resuming our return of capital program. As we announced in today's press release, our Board of Directors has approved the resumption of our quarterly dividend at $0.40 per share, which will be paid at the end of May. We have a long track record of returning capital to our shareholders. Resumption of our recurring dividend reflects our confidence in the outlook for the business, and we will continue to evaluate additional opportunities to return capital, including share repurchases over time, particularly as our line of sight to the recovery of the broader marketplace improves. Turning to Page 8 with a summary of our business segment performance in the first quarter. We achieved double-digit sales growth in all of our business segments, led by U.S. Retail with growth of 27%. We built on this strong sales growth with significantly improved profitability in each of our segments. Corporate expenses were higher year-over-year, principally due to higher provisions for compensation, which were significantly curtailed a year ago during the early days of the pandemic and external consulting in support of our productivity initiatives. Now turning to Page 9 with some detail on U.S. Retail performance in the first quarter. Both stores and eCommerce net sales posted double-digit growth over last year. Given the significant store closures, which began in mid-March last year, our usual total retail comparable sales metric is not meaningful this year. Our eCommerce business continued its momentum, building on last year's strong results with total sales in this channel increasing over 38%. In the first quarter, we continued to see good momentum with our omni-channel offerings. Omni-channel related sales increased over 100% compared to Q1 of last year. In the first quarter, 29% of eCommerce orders were fulfilled by our retail stores, either through on-site pickups or shipping to the customer directly from the store, up from 16% in last year's first quarter and also up from the level of activity in the fourth quarter. During the first quarter, we closed 60 stores, which is part of our full year plan to close approximately 115 stores over the course of 2021. Given the relatively low productivity of the stores slated for closure and with the benefit of a strong sales transfer rate, we expect these closures to be accretive to earnings and margin in 2021. The profitability of our U.S. Retail business improved meaningfully in the first quarter with an adjusted operating margin of 18.7%, driven by higher gross margin as we improved price realization and had meaningfully lower charges for excess inventory. We levered the fixed cost of the business very well, given the strong increase in sales. Moving to Page 10 with some highlights of recent marketing. At the start of the pandemic last year, we hosted a first of its kind virtual baby shower for expected moms with Kelly Clarkson. This event was a huge success, so we've made it an annual event. For this year's installment, we created the Dream Shower Giveaway event. We partnered with celebrity new mom, Ashley Tisdale, and other key partners, including Huggies, Sephora, Babylist and Skip Hop to create special price packages for participating moms to be. This year's event was also very successful, resulting in nearly triple the contest entries versus a year ago. We have some new product launches to share with you today on Pages 11 and 12. We're very excited about our Little Planet brand. The focus of Little Planet is on sustainability and is positioned as an accessible premium brand. Sustainability is a meaningful trend in the marketplace today. Consumers want to purchase products, which demonstrate high integrity and a commitment to the environment. As such, Little Planet is also an initiative, which is helping us to advance our overall ESG agenda as a company. We launched a new Little Planet experience on our website in March, with a new tab dedicated to the brand. These products are mostly organic cotton and are broadly sustainable, including the packaging and hang tags, which accompany the product. The Little Planet assortment complements our other brands in terms of its elevated aesthetic and fashion, while remaining very accessible in its value and price. These products are currently available on our website and at Target. We've had a tremendous response to our marketing efforts supporting Little Planet, including on social media. Early results have exceeded our expectations, and we've been chasing additional inventory in our best-selling styles to meet consumer demand. On Page 13, Bold Basics is the branding we have applied to a subset of our existing products. We've created a new website experience for customers with a corresponding marketing campaign focused on these core knit, everyday essentials in a range of optimistic colors. The product styles including everything from baby footed PJs to pocket tees to easy knit dresses in simple -- in simple stripes, solids and dots. This initiative makes it easy for existing and new customers who are looking for these simple classic styles for their young children. Turning to Page 14. Our marketing has evolved to better address and support our broader Age Up merchandising initiatives. This marketing has a very new and different look, feel and voice, which is more appropriate to the older child and product it is intended to address. You'll see more of this tween squad oriented marketing in the weeks and months to come as we build on the momentum of our older age segment products across our retail and wholesale channels. On Page 15, we have some data, which is familiar to many of you now. Our strong social media engagement with consumers continued in Q1 as we expanded our community of parents across key social media platforms, including Instagram, where Carter's and OshKosh brands earned 71% of all engagement in the category. Moving to Page 16 in our U.S. Wholesale business. We saw good sales growth at Wholesale with net sales increasing 12%. Our sales increase was driven by several components of the business, including exclusive brands, Skip Hop and the core Carter's brand, which returned to growth in the quarter. Sales in Wholesale were somewhat higher than we had planned as we experienced some earlier demand from certain customers, which helped offset the effect of delayed product receipts. We've seen outstanding replenishment demand from a number of our customers, especially for our core Little Baby Basics product. Our wholesale customers are experiencing high demand for our brands from their consumers, particularly online, which has translated into improved sell-throughs and realized pricing. Profitability in the U.S. Wholesale segment was also up meaningfully as a result of higher sales and improved product margins, lower inventory related charges and lower bad debt expense, which were partially offset by higher compensation provisions. Moving to Page 17. Performance of the Just One You brand at Target was very strong in the first quarter. One specific area of strength has been JOY swimwear, which we've now expanded in infant and toddler sizes to all Target doors. Target customers have responded well to these products with their compelling combination of prints and patterns with great quality and value. We believe consumers are likely planning more vacations this year as the pandemic hopefully fades, providing good momentum in the sales of these products. At Walmart, sleepwear continues to be an area of strength as it is in all of our exclusive brands. We are also seeing good momentum with the Child of Mine toddler business. All our customers have responded well to the value and style in our Child of Mine sets, in particular, in providing easy outfitting solutions. Moving to Page 18. Simple Joys by Carter's is our brand exclusively sold via Amazon around the world. Overall sales growth at Simple Joys continues to be strong. We participate in a very interesting program with Amazon, their Registry Welcome Box, which qualifying prime members receive when signing up for Amazon Baby Registry. We expect to ship over 1 million white body suits to Amazon in 2021, which means this number of new customers will be exposed to the Simple Joys brand as they prepare to become parents for the first time. Turning to Page 19 and first quarter results for our International segment. International net sales grew 19% to $97 million. On a constant currency basis, segment net sales grew 15%. Canada was the largest contributor to our sales growth as this market increased 19% over last year. Online demand was particularly strong with eCommerce sales up over 100%. While Canadian store sales declined in Q1 because of store closures in the first part of the quarter, we saw extremely strong consumer demand once the stores reopened in late February. Currently, we have approximately 100 stores, which have closed again in Ontario and Québec as authorities in these provinces have reimposed COVID lockdowns. We expect these stores will reopen by the end of May. In Mexico, our second largest international market after Canada, net sales grew 9% in the first quarter, driven by growth in both eCommerce and store sales. The balance of our International segment is comprised of wholesale relationships with over 40 partners and multinational retailers in approximately 90 countries around the world. First quarter net sales in this portion of the business increased 26%, driven by growth with Amazon and good demand for the Skip Hop brand outside of the United States. Adjusted International segment income was $10 million compared to a loss of $5 million last year. Adjusted segment margin improved to 10.2%, reflecting better price realization, lower inventory provisions and expense leverage. On Page 20, earlier this month, we launched omni-channel capabilities in Canada, specifically buy online, ship to store, buy online pickup in-store and curbside pickup options for consumers. We believe we're the only children's apparel retailer in Canada to offer these digitally enabled omni-channel capabilities, which we believe will help us to strengthen our leading position in this important market. On Page 21, we've included a photo of our first store in Keiv. We've historically seen strong demand from Ukraine on our U.S. website, and we're optimistic about the growth potential for this market. On Page 23, the number of questions we've received from investors on ESG topics has been increasing in recent years, so we wanted to provide a brief update on our ESG agenda. First, as shown here, we've summarized our core values. These are not new for us at Carter's. These exact statements have been in place for nearly a decade now. These values are prominently displayed in all of our offices and operational facilities and even in those of some of our key suppliers and partners around the world. These values are important guideposts for us in how we run the company, and they're important to us as individuals as well. Importantly, these values are incorporated into our employee performance appraisal process. So all of our people are evaluated against how well they model and adhere to these values. Our focus on environmental issues continues to develop. And like many companies, we are in the earlier stages of developing more specific goals and objectives in this area. We work closely with our various suppliers and partners to understand their own programs and commitments and being good stewards of the environment. In social matters, we've expanded our dialogue with employees and consumers regarding the importance of diversity and inclusiveness and strive to ensure that our employees and business partners, throughout the world, are treated with the fairness, dignity and respect that they are due. In the last year, Carter's has been recognized by Forbes across numerous dimensions, including being a great company for women and diversity overall. Finally, we've always prided ourselves in governance matters, and how we manage the company overall. Last year, we appointed an executive leader who has responsibility for all of our ESG activities. This responsibility was spread across several individuals previously, and this leader reports directly to Mike. We intend to publish our first ever ESG report later this quarter, and we look forward to hearing your feedback. On Page 24, we have an example of how we are working to reduce the environmental impacts of our products. We recently announced the launch of KIDCYCLE, a first of its kind program to recycle children's clothing. The intent of this pilot program is to provide families with sustainable option when it's time to part with their children's well-worn Carter's and OshKosh clothing. The sustainability benefits of this program include reduced volumes headed for landfills and the conversion of donated items into products for further use such as insulation. Moving to Page 26 and our outlook for 2021. It is extremely challenging to forecast our business in this environment. By extension, providing guidance is also challenging. But we believe it's important to share what we think may be possible for our business over the balance of the year. There are numerous factors at work, perhaps, with competing effects and uncertain impacts on our business. The late delivery of product continues to be an acute issue for us and many other retailers. We think it may take until the summer until we are more fully past this issue. These late deliveries have been accompanied by higher transportation costs across our various providers. In some cases, we are incurring unusual expenses to expedite some of our products from Asia to the United States. Much has been written about the projected decline in new births in the U.S. While we've not seen this have an impact on our business to date, we are mindful of the potential for this issue to become a near-term headwind for us. We're assuming a gradual recovery in store traffic trends across the balance of the year, but this will likely be heavily dependent on the status of COVID cases in various regions of the U.S., Canada and Mexico, and ultimately, consumers' confidence and comfort in returning to in-store shopping. As we have begun to work on our assortments for next year, we're beginning to see signs of inflation in product input costs, particularly those related to fabric. On the positive side, we're encouraged by consumers' response to our product assortments, which we think are the most compelling in the market in terms of their beauty, value and quality and the increasing effectiveness of our marketing and promotional programs. We're generally encouraged by the trend towards a greater proportion of the population being vaccinated and loosening restrictions on businesses and travel. Our recent experience reinforces the potential for a strong rebound in consumer demand as the pandemic winds down. At some point, there may even be something of a baby boom coming out of last year, which will also benefit our business. Certainly, we think back-to-school this fall will be a nice opportunity for us as more kids return to the classroom full time. There may be additional government stimulus put forth as we go forward. And the provisions enacted in the previous rounds related to child tax credits will start to benefit families starting this summer and will extend into early next year. All of this said, we expect 2021 will be a strong year of recovery from the pandemic. In projecting the year, comparability of each period to last year is clearly an issue. As we said on our last call, we expect the growth of sales and earnings to be higher in the first half of the year. There are a number of factors to note, which will affect the comparison to last year's second half in particular. There's about $90 million of revenue at issue as a result of wholesale shipment timing and the impact of closing unproductive stores. Additionally, last year's 53rd week contributed just over $30 million of sales, which will not recur this year. Additionally, earnings growth in the second half will be affected by the items noted on Page 27, which include the release of inventory reserves last year, the restoration of compensation provisions and an expected higher effective tax rate given our forecast for more of our earnings to be generated here in the U.S. versus last year. Turning on the next page with specifics on our outlook for the year and the second quarter. Given our strong start to 2021, we have raised our sales and earnings outlook for the year. We're now planning net sales growth of approximately 10%, up from a prior view of 5%. Adjusted EPS is now forecasted to grow approximately 40%, up from growth of 10% previously compared to adjusted EPS of $4.16 in 2020. This outlook for fiscal 2021 reflects our expectations for sales growth in all segments and gross margin expansion. We're targeting operating income of approximately $400 million, which would match our performance in 2019 and also represent good expansion in our adjusted operating margin over last year and 2019. Our 2021 outlook contemplates higher interest expense driven by the issuance of our senior notes last year and an effective tax rate of approximately 23.5%. For the second quarter, we're planning net sales growth of approximately 35% with adjusted operating income expected to grow at about this same rate. Growth in adjusted EPS is expected to be approximately 25% versus last year, slightly lower than the growth in adjusted operating income due to the higher tax rate, which I've mentioned. This second quarter outlook reflects our expectations for strong sales growth in all business segments. We're planning gross margin expansion again in the second quarter, although at a level more modest than what we achieved in the first quarter, in part due to higher freight costs as we expedite deliveries in order to meet the strong demand we are experiencing and the comparison to last year, which included the release of some inventory reserves. Our outlook also assumes higher SG&A, in part due to a full quarter of store expenses compared to the closures a year ago as well as higher compensation expense, many components of which were reduced significantly a year ago. And with these remarks, we're ready to take your questions.
Operator: [Operator Instructions] First question comes from Lorraine Hutchinson with Bank of America.
Lorraine Hutchinson: I wanted to ask about like how you're thinking about gross margins for the full year. Where do you see this shaking out versus the 43% achieved in the last 2 years? And then will any gains be sustained into next year in your plan?
Richard Westenberger: On gross margin, we're expecting nice expansion on a full year basis. It would be well ahead of what we achieved over the last couple of years, and it's based on some of the things that we've talked about here. We're making great progress with improving our realized pricing, which is, in turn, I think, a reflection of our assortments continuing to improve and be very compelling to the consumer. Our marketing programs continue to improve in their effectiveness and their efficiency. And we're continuing to work on our supply chain and all the other inputs that go into it. So right now, probably too early to give guidance for next year, but we're going to have very good progress this year.
Operator: Our next question comes from Paul Lejuez with Citigroup.
Paul Lejuez: Just keeping on that gross margin. I'm curious if you look at gross margin in the first quarter of this year versus 2 years ago. How much of that improvement is price realization versus mix shift? And also I'm curious if there's anything onetime motion in nature about this year's first quarter gross margin is related to the flow of inventory over the past year and write-off amount is included. And then looking more ahead, you did call out some inflationary pressures. Curious what you will be talking about in terms of the pressures you might be seeing? And then we would start to see that flow through the [indiscernible].
Michael Casey: Paul, I would say it was a little choppy in terms of hearing your message. But your focus was on what's driving the gross profit margin relative to a couple of years ago. It's driven by the strength of the product offering. Best margin is on product selling well. And we have -- we started a process a year or so ago in terms of buying inventories more conservatively. So we've been leaner on inventories. We have a relatively new Head of Marketing, he and his team have done an outstanding job focusing our marketing on more the emotional content of the brand and less of the promotions. So as a result of the strength of the product offering, leaner inventories, more effective marketing, we're seeing better sell-throughs on our product, less product on the clearance rack at the end of the season and better margin. So I would expect that we would continue to build on the margin performance we have this year going forward.
Paul Lejuez: Okay. Was there any mix shift they have versus year ago?
Michael Casey: Yes, certainly, because largely, eCommerce. eCommerce is driving the business and we're adding it out. We're closing the lower margin stores and driving more of our consumers to our very high-margin eCommerce business, and our higher-margin stores located closer to their homes.
Paul Lejuez: All right. And then just the second piece was earlier you said, you mentioned some higher pricing -- higher price that you might be seeing on the commodity side. How much that flows through the P&L? When might we see it? And what sort of magnitude?
Richard Westenberger: I'd say on input costs, Paul, I think that was your question. We're in the early stages of putting our initial assortments together for next year. So I would say it's, first of all, a very dynamic situation, and it's in process at the moment. What we've seen so far are that some of the input costs related to fabric are higher. Cotton has been generally higher than it was a year ago. Oil prices have moved up, which becomes a component -- an input component in some of our products. So those are the elements. I think there's also -- a lot of fabric comes out of China. There's varying moves that a lot of companies like us are making to move our production a bit around relative to some of the issues that have come up relative to some of the ESG issues in China, all of which has served to constrain fabric availability more broadly. So we're working with our team in Hong Kong and our supply chain is on top of it. Probably too early to try and quantify it. We're just raising the flag a bit to say this is what we're seeing so far as we put those assortments together.
Michael Casey: We'll share visibility of the spring 20 product cost when we update you again in July.
Operator: Our next question comes from Susan Anderson with B. Riley.
Susan Anderson: Nice job in the quarter. On the guidance for second quarter, I curious kind of what's changing from first quarter to second quarter? It looks like the revenue and earnings guide is not at 2019 levels where we saw first quarter, obviously, outperformed that. So just kind of curious your thoughts on kind of what's changing there, sequentially?
Richard Westenberger: Well, the pattern of the business can change very considerably from quarter-to-quarter, Susan. We're expecting very good revenue growth. I think if you look back to last year, we had a substantial portion of the stores closed for most of second quarter. We had suspended shipments to our wholesale customers as they were trying to figure out what their reaction to the news and the arrival of the pandemic meant. So we're going to have very, very strong growth. I'm not sure that it's really comparable to what we did in the first quarter because I think the comparison to last year changes pretty meaningfully. But we're expecting solid growth across wholesale. We're expecting good growth in our Retail business. Expecting good growth in International and continued margin expansion. So all told, we're expecting a very good quarter here.
Susan Anderson: Great. And then just on the inventory front. So it sounds like maybe you feel like you could have more inventory. I guess how are you thinking about inventory levels in the second quarter and back half? I know you called out a comparability issue of releasing the inventory last year. So I guess, does that mean you won't have as much inventory this year? Or were you able to plan for somewhat higher inventory for back-to-school, given we should have a more normalized back-to-school this year?
Richard Westenberger: Well, I'd say 2 things. One, we have taken some steps to expedite and try and bring products in as early as we can because of the demand we're seeing, that will be a good thing. Just from a forecast point of view, I'm expecting inventories will be probably more flattish here as we exit the second quarter, and they'll be up a bit in Q3 and then declining a bit towards the end of the year. We have, in some cases, increased our inventory levels where we were able to add to our commitments just given the strong projected demand. Some of that would relate to the back-to-school season, but we did increase some of our inventory buys in order to have a little bit more on hand to meet the demand that we're forecasting. It is a very dynamic situation, and it's week to week. I don't envy the folks in our operational area who are trying to keep track of all of this for us. But with the myriad of transportation delays, and now, as I mentioned, more factory related issues as they're dealing with the surge in the infections in some of these key countries, it has caused some delays. And generally though -- in general, we're trying to bring a product in as quickly as we can. And in some cases, that may mean that we hold it a bit longer, and we'd rather have it on hand than have the uncertainty of when it may show up.
Operator: Our next question comes from Jim Chartier with Monness, Crespi, Hardt.
Jim Chartier: First, I was wondering if you could provide a little more color on the tween squad assortment and Little Planet. How big are those assortments? What's the ultimate market opportunity do you see for those businesses? And how do you see the timing of rollout play out?
Michael Casey: Sure. Jim, just to give you a little detail. Little Planet, I'm really excited about. Both are new sustainable, accessible premium brands. Richard shared with you, and we piloted this actually before the pandemic, and we had some good learnings, so we decided to really launch it in a more fulsome way this March. It's online in our website. It's in about 400 Target stores and on target.com as well. It's really beautiful merchandise if you get a chance to look at it. We've had really strong response to the marketing efforts. It's mostly organic cotton, and it's all about sustainability. So the early reads are exceeding expectations. I hesitate to put a number on it right now. But we do think it's going to grow, and we think it can help us reach even a broader market. There are a lot of new moms that are really focused on sustainability organics and so we think it's an important part of our business going forward, and we're optimistic, and particularly the baby component of that and up to the toddler. So we'll keep you posted on that progress. But too early to quantify. As far as the tween squad business, that is a emotional branding we've done around our Age Up strategy. And we had really good growth in that strategy going forward. I think on a percentage basis, our toddler and kid product were the largest percentage growth we had in Q1. I think we had a little bit of a bounce backlash from last year when the kids were home, they weren't in school. Almost a mini surge this year between the stimulus and some of the schools opening up, so that helped us as well. But we do think that, again, continue to say this Age Up strategy and tween squad is a component of marketing that. We are adding products. We're adding categories. We think it's a really key way to increase the lifetime value of our customers that we acquire as baby customers, and every additional year that we can keep them in our brand, that's really good for our company. So we're optimistic about that. Again, toddler, and then Big Kid, Big Kid is actually the highest percentage growth business we've had in the company for numerous quarters, including Q1. So we look forward to that going forward. I think back-to-school will be -- we're optimistic that all the schools will be open for the students and for learning as we go into fall, and that's a key time period for us. We'll be celebrating the return to some level of normalcy, and I think that our positioning with Age Up and tween will help us a lot in that period this year as well.
Jim Chartier: Great. And then can you just it sounds like you had a very strong Easter week. I'm curious how did the Easter dressy product sell this year? And then how are you planning for holiday dressy assortments?
Brian Lynch: We did have a good Easter. We're smiling in the room because we made a decision when we had to decide -- we had to call some of the plays late last year of how spring was going to be. And we actually pack and held our most dressy Easter collections for this time assuming that with the lockdowns and the dark winter or what have you, the business would be softer. So we do have -- we did have a lot of other beautiful product. We kept the baby's first Easter product rolling for our stores and in Target as well. And what happened is we did have a surge in demand around Easter. Our sales were up, I think, 10% over 2019. Profits were higher. And if you put March and April together, what we call Marpil, that also exceeded the 2019 level. So we had a really good selling, but I think the teams did a good job of positioning some of the more casual dresses and some of the wovens we did have in boys to capture some of the demand. But the actual most dressy Easter product we did not have on the floor this year, we packed and held it for next year.
Michael Casey: Yes. We found interesting, Jim, the consumer behavior over the past year, our sleepwear business was through the roof because most kids were home virtually learning in their pajamas. As we moved into the spring this year, you saw a lot of the better performance with casual dressing. But as we're moving into the warmer weather months, we're starting to see the nicer outfits, fancier outfits starting to perform better because I think people are anticipating getting out and about and going to visit grandma, going on vacation. And so it's going to be fascinating to see the consumer behavior as more people are vaccinated and when children start to go back to school. And this Age Up strategy that we've had, we're showing good progress with it. The older age segment combined is about a $12 billion market. It's actually slightly larger than the baby and toddler markets combined. And to Brian's point, we're seeing very good progress and growth in those ages 5 to 10-year-old markets with our -- the success of our playwear strategies.
Operator: Our next question comes from Ike Boruchow with Wells Fargo.
Ike Boruchow: Two questions on DTC. First on eCommerce. Could you maybe talk about just the profitability you're seeing in eCom, maybe not necessarily Q1, but just over the last couple of quarters relative to history? I think you guys have talked about 20% margins in the past. I'm just kind of curious, is that moving up? Is that moving down? And then what are the puts and takes? And then are there plans to expand your DC network to kind of handle more of the fulfillment that you're seeing in eCommerce as you kind of think about that over time?
Michael Casey: Sure. So eCommerce continues to be our fastest-growing margin business. And I would say the margins are better than they've been in the last couple of years. So that's the beautiful combination of the stores and eCommerce together. That's -- you'll continue to hear us talk about these omni-channel customers because they are our highest value customers. They shop more frequently, they spend about 3x the single-channel customer on an annual basis. So that is where we're anticipating the growth to come over the next 5 years, both direct-to-consumer and through our wholesale customers. And as we shared with you, the online performance of our brands through our wholesale customers has been particularly good. With respect to the DC, we are leveraging over 600 of our stores in the United States [indiscernible] to Hawaii. We're also now starting -- going forward, we'll roll out that capability up in Canada as well. So our multichannel distribution center here in north of Atlanta is getting some relief by supporting the fulfillment of online purchases through the stores. That said, we're looking out over the next 5 years and anticipating that we may need to expand the capacity and that good work is underway. And as I understand, it will probably have a point of view on that, probably within the next 18 months.
Ike Boruchow: Got it. And then just a follow-up maybe for Richard to dig in more near term. I know it's difficult with the comparisons, but is there a way to kind of characterize the store comps that you're seeing today? I don't know if you could talk about it relative to last year or '19, but just kind of curious how the store performance is? And then based on your guidance, you've got some really difficult or big problem to have very difficult eCommerce compares, especially in the second quarter. Should we be expecting that in your guidance, you're assuming eCommerce to be negative at any point this year in any quarter? That would be helpful.
Richard Westenberger: There's a lot in like so much you've asked. I would say that we're expecting that eCommerce is a little softer in Q2 relative to the 100-plus percent comp we generated in Q2 of last year. Probably not reasonable to assume that we would continue at that torrid pace from a year ago. I think the store comps is probably not meaningful compared to last year because of the closures. I would say we're still running down traffic to 2019. That's how we're trying to kind of benchmark ourselves. We've been running ahead of the industry benchmarks that we look at. So the whole industry continues to be down from a store traffic point of view. We've been running better than those results. And our forecasts indicate that, that will get better overtime, but that continues to be, I think, kind of 1 of the key risks that we're monitoring, how quickly will folks feel comfortable getting out and about and being comfortable being back in stores again.
Ike Boruchow: Got it. But you're not assuming negative eCommerce growth in the second quarter, are you, Richard?
Richard Westenberger: Yes. We -- eCommerce sale is expected to be down slightly in Q2. Store sales up significantly, wholesale up massively when we weren't shipping anything a year ago. Those would be the drivers.
Operator: Our next question comes from Jay Sole with UBS.
Jay Sole: I was just going to ask about the second half guidance. Can you just tell us what's implied in the guidance? Because it sounds like if you compare what you guided to last time versus what you -- the Q1 result and the second quarter guidance, the guidance is about $0.50 lower for the second half of the year than what was sort of implied in the last guidance. Is that just conservatism around supply chain delays and, obviously, the nature of the pandemic, we don't know how it's going to play out, or is there some other aspect around something that's going on in the business, maybe tough compares or whatnot, that could be impacting that implied second half guidance?
Michael Casey: So Jay, I would say the second half will not be comparable to the second half of 2020. And there's a few things on the sales side that, again, it's important for you to know. We delayed the shipment of our fall product offerings last year into the second half because stores were closed. Those fall product launches, including the core of our Carter's baby product offering, which is Little Baby Basics, that's going in the second quarter this year. That's what's going to drive significant growth in our Wholesale business in the second quarter. And so you're going to have $50 million from last year's shift into the second quarter this year. Richard also referenced, we're bearing store closures. And so we closed over 60 stores to date. We'll close over 100 this year, and that will impact the second quarter this year by some portion, about $40 million. So what we had last year, $40 million more in the second half, and we won't have that in the second half of this year. And again, keep reminding the 53rd week last year, and that was over $30 million. So you got well over $120 million of second half sales last year that won't be repeated in the second half this year. So if you -- we would -- the way we view it, we're having good mid single-digit growth in the second half of this year exclusive of some of those noncomparable items. On the earnings side, again, you got the earnings from that wholesale shift. And you've got the release of reserves in the second half of last year that won't happen this year. We put up some significant reserves in the second quarter last year when the pandemic hit. And as we move through the year, it had better progress with excess inventories working them through the stores. We were able to release over $20 million of inventory reserves in the second half. That won't repeat. And we curtailed compensation across the board significantly when the pandemic occurred last year. Those compensation provisions will be restored this year. So that's the combination of those 3 things as well over $50 million. I'd also say we're going to have higher freight costs because we're expediting the receipt of product from Asia. We're trying to bring it in earlier to get ahead of some of these shipping delays. So I would encourage you to look to the year. This year will be much stronger than what we anticipated just 8 weeks ago. And as we move through the year, we'll have more visibility to what's possible in the second half. We have good visibility in the second quarter. We have a very strong second quarter. And in July, we'll clearly have more visibility of what we think is possible in the second half. But there's significant comparability issues year-over-year. I would encourage you just to look at the year, it will be far better than we expected.
Operator: Our next question comes from Warren Cheng with Evercore ISI.
Warren Cheng: Just wanted to dig in a little bit deeper on the plus 59% March results. So I know for the past several quarters now, kids and toddler has been outperforming baby. But if we look at that acceleration, the January to February to March, are there any callouts on what drove that by the age group or by category?
Michael Casey: The baby apparel was the strongest component of our growth in the first quarter, but we also saw very good growth in toddler, kid and the big kid. So the growth was particularly good across all age segments. In absolute dollars, baby was the largest. In percentage, it was big kid, that 8- to 10-year-old child. That was the -- and I think it's going to be interesting as we move into the second quarter to see the performance as we get closer to that back-to-school period in those older age segments.
Warren Cheng: Got it. And just my follow-up. If we take a step back, can you just share your thoughts on what, if anything, has really structurally changed about your business or your industry as a result of COVID? And I'm specifically wondering, if you look in your retail footprint in terms of its size, the right location mix, whether COVID has changed your thinking there longer term?
Michael Casey: So on the structural changes, I think, Carter's, like, many good retailers, see the benefit of running leaner on inventory, kind of a scarcity model, having less product on the clearance rack at the end of the season. Our head merchant, together with her team, are focused on products that have longer life cycles attached to them. We used to bring in T-shirts and shorts early spring and then 13 weeks later, discounting those so we could bring in more T-shirts and shorts. And what we realized when stores closed last year, our spring product offering lasted us almost through October, last us well through the summer months into the early part of fall. So our merchants have developed new product offerings like this Bold Basics and other product offerings that has longer life cycles, and we've learned that from some of our better wholesale customers, with some of the product offering we've developed for them. Some of the best-performing styles are styles that have a life cycle of 12 to 24 months. So those are some of the structural changes, leaner inventory, products with longer life cycle. And then, in the footprint, as I've shared with you, I think it's going to be a buyer's market when the dust settles on this pandemic. So whereas we've hit the pause button on store openings, we make a lot of money in our stores. We see a very high-return investment in our stores. And whereas we're closing about 25% of our pre-pandemic store portfolio, I think there's going to be new opportunities to open up co-branded stores, highly productive stores located closer to consumers that provide a high service level to our online customers. So as we move through the balance of this year and into next year, we will continue to reevaluate our store opening plan and look for new opportunities that provide a high-return on investment.
Operator: This concludes today's question-and-answer session. I would like to now turn the conference back to Mr. Casey for closing remarks.
Michael Casey: Thank you. Well, thank you all for joining us this morning. We look forward to updating you again on our progress in July. Goodbye, everybody.
Operator: Thank you. Ladies and gentlemen, this concludes today's presentation. You may now disconnect.